Operator: Welcome to Solvay's Full Year's 2021 Results Conference Call for analysts and investors. Solvay team, the floor is yours.
Jodi Allen: Good afternoon and welcome to our Fourth Quarter 2021 Earnings Call. My name is Jodi Allen, and I'm joined virtually by our CEO, Ilham Kadri, our CFO, Karim Hajjar. And today, we are also joined by Philippe Kerhen, President of Solvay's Soda Ash & Derivatives business. Today's call is being recorded and will be made available for replay on the Investor Relations section of our website shortly after the webcast has concluded. I would like to remind all participants that the presentation includes forward-looking statements, which are subject to risks and uncertainties. You may refer to the slides related to today's broadcast which are available on our website. With that, I'll turn the call over to Ilham.
Ilham Kadri: Good day and hello, everyone. I'll begin my remarks as usual with the health and safety overview shown on Slide 3. As of last week, we have 158 colleagues who are infected with COVID-19. The number of confirmed cases is down significantly from a peak of 430 on January 20th.
Jodi Allen: Hello, Operator?
Operator: Hello. I think we have a technical issue, we have no more sound.
Jodi Allen: Okay. Can you ask everyone to bear with us, please, for a few minutes while we resolve the issue?
Operator: Yeah. Everyone is hearing you. So ladies and gentlemen please wait a few minutes, the conference will begin again.
Ilham Kadri: The impact of the Omicron variant was particularly appearance in the Solvay workforce in the United States of America, Italy, and France over quarter 4 and into the New Year. Although the number of cases continues to drop across the company, we must remain vigilant as we gradually and carefully look to reopen our administrative sites with measures in place to protect our employees and their communities. We will continue to work in a hybrid mode as pandemic control measures ease.  On top of that, we will continue to use the service solidarity fund and have used over €6.4 million out of the €15 million collected from investors management team and directors donations to support our people and communities in 13 countries around the world. And this leads me to our sustainability program, Solvay One Planet, which is an integral part of our strategy. I would like to celebrate some of our achievements in 2021 which are shown on Slide 4. As you know, Solvay's fully committed to reducing carbon emissions.  Here we see that we continue to make excellent progress against our targets. The impact of the pandemic on 2020 activity levels is when known. So the increase in emissions in 2021 comes as no surprise. But what is most significant is the fact that we have achieved an 11% reduction across the 3-year period which means, while surpassing our targets to be aligned with the various agreements, 6.6% cumulatively, very substantially. Last quarter, we announced our ambition to reach carbon neutrality before 2040 in all businesses and before 2050 in soda ash.  We are accelerating our efforts in this area by announcing today another major project to transition to cleaner energy in our largest soda ash plants in Devnya, Bulgaria, and Philippe will give you more details shortly. Our climate efforts are getting recognized. And we were recently recognized by the rating agency, the Carbon Disclosure Projects or CDP, which upgraded Solvay from B to A minus. And we are proud to win this leadership band and higher than the chemical sector average of B. Slide 5 shows a summary of our rating from various independent rating agencies. We have made many more achievements in our other two pillars, resources and better life, which we have highlighted in our quarter 4 earnings press release.  As an example, in quarter 4, we announced the launch of our very first employees stock ownership plan offering the employees the opportunity to buy shares at a 7% discount. We are very proud of the strong progress as we deliver on our ambitious roadmap. That is much more to do and this remains a key priority for Solvay and is directly aligned with our company purpose and our strategy.  Moving now to our full results shown on Slide 6. 2021 marks another great year of progress in our transformation journey. We are emerging stronger on all fronts from pricing power to profitability, from cash generation to returns. I'm proud of the strong performance we delivered in the fourth quarter, as we navigated new challenges facing the chemical industry and overcame these headwinds with necessary price actions to maintain and actually increase our margins. Our businesses continued to do an outstanding job managing an environment of inflationary pressures, supply chain constraints, and lingering uncertainty due to what we hope are the last stages of the pandemic.  Let me here extend a sincere thank you to our teams globally for their continued hard work and unrelenting focus on serving our customers. Without you, we would not be in the strong position we are in coming out of the pandemic in 2020 and the year business with challenges in 2021. Comparing the fourth quarter of 2021 to the previous year quarter, sales were up 22% on an organic basis and up 17% versus the full-year 2020. Of this 17%, 12% growth was from volume and 5% from pricing. We accelerated our pricing efforts in the third quarter and began to realize the benefits in quarter 4 achieving 12% growth from price increases.  This is the highest single quarter level of price achievements in the past five years. Sales for the full-year were up over 4% versus 2019 pre -crisis level. And this is without the full recovery, as you know, of the civil aero markets. Demand in all our key end markets was strong in quarter 4, with double-digit growth driven by automotive, agro and seed, electronic and consumer markets. Likewise, our full-year 2021 sales performance exceeded market growth in this same core area. Geographically, all regions delivered double-digit organic sales growth versus quarter 4 2020. Europe was up by 14%, Asia-Pacific, China, up by 19%, and the rest of Asia up more than 30%. North America was up 22%, and Latin America was up by 33%.  The double-digit top-line growth and €40 million of structural cost reduction resulted in strong EBITDA performance in the fourth quarter, up 24% organically. For full-year 2021, Solvay reported record EBITDA of €2.35 billion, up 27% organically versus 2020 despite the higher inflationary environments and unfavorable energy headwinds. We also surpassed 2019 EBITDA levels by 8% twice the top-line growth, demonstrating strong operating leverage. And this is the result of volume growth, our accelerated pricing initiative, and ongoing restructuring and cost takeouts measures. We're also marking the achievements of a new milestone, namely delivering returns of 11.4% in 2021.  Remember back in 2019 when we first launched our growth strategy, the return on capital employed was 8.1% and we committed to exceed 11% by 2024. The strength of our operational performance, combined with the optimization and rationalization of our assets, and pruning of some product lines enabled us to deliver on these targets 3 years ahead of plan. Last but not least, we continue to deliver strong cash performance. As you are likely aware, we laid the foundation back in 2019, when we put in place a new incentive structure and more focus in discipline governance.  You saw us accelerate our delivery during the pandemic. And we have continued to deliver. This is in fact the 11th consecutive quarter of positive free cash flow generation. Why is this important? Because our strong cash generation enabled us to invest for the future. And we have a number of exciting growth opportunities. Thanks to our customers who value our sustainability-driven innovations and come to us with even more opportunities. So speaking now about investments, as you have witnessed following our Batteries webinar a few weeks ago, we are switching gears from getting fixed to changing the game through the acceleration of our investments. In batteries, we are investing €300 million in the next two years in Tavaux, France.  I encourage you to listen to the webcast replay available on our website to learn more about our ambitions on targets in the auto and batteries market. In addition, just this week, we announced new investments that's affirmed our number 1 leading position in the U.S. sulfone polymers markets. We are increasing the capacity of polymers such as PSU, PESU, and PPSU which serve growth in various markets, including healthcare, water purification, and food industry. Finally, similar to the auto webinar, I plan to host other dedicated webinars throughout this year, either a standalone events or a spotlight topic during our earnings calls. The objective of this webinar is to introduce some of our global business units presidents and other experts and leaders in order to share more about their businesses ' strategies and performance highlights and to help address the many good questions you have.  So today, I'm very pleased to be joined here, physically active in Brazil by the president of our Soda Ash & Derivatives business, Philippe Kehren. Philippe has been with the company for 26 years, and has accumulated a wide range of experiences from finance, managing energy and clean energy production, to lead in South formation projects, and customer relations in the Europe, Middle East, and Africa region. In the fall of 2020, he accepted to become the President of the Global Soda Ash & Derivatives business, where he and his team have been driving the business transformation flawlessly on both the operations and sustainability front. Philippe will now give you an overview of the soda ash business and current market environments. Happy to have you here. Philippe, now I'll turn the floor for -- to you.
Philippe Kehren: Thank you very much, Ilham. And hello, everyone. Very happy to be here as well. Since taking this role, the objectives of this business have been crystal clear to me, to focus on cost competitiveness and sustainability, and to continue to drive cash generation. We have also leveraged the transformation done at group level to build a leaner and fit-for-purpose organization for our business.  Now today, I would like to share with you an overview of our markets and discuss the pricing environment and contract stages for 2022. We will also take a look at our world-class assets and leading cost position. And I'll update you on the step changes we are making with our energy transition projects. So what is Soda Ash & Derivatives at Solvay? Our business has annual sales of €1.5 billion. We operate in 11 production sites globally.  Nine are producing soda ash and bicarbonates and two are producing raw materials. And we have 3,200 employees and we serve customers everywhere in the world. Now let's start with our markets. Soda ash and sodium bicarbonate are considered as essential chemicals that serve resilience and growing end markets. There is a large number of diversified markets for these chemicals. By far, the largest market is still for glass manufacturing. About 50% of our Soda Ash sales today are used in glass for building, automotive, food and beverage containers, and also for new growing applications such as portable type panels. About 25% of our Soda Ash is used as a water softener for detergents.  It's also used in various industrial applications and also in new applications that are developing, such as lithium carbonate for batteries. And of course, we also use Soda Ash to produce sodium bi carbonate ourselves, which we have branded as bi car. Bi car represents 25% of our sales, mainly serving 4 markets; Flue gas treatment with our Solvay solution, and also feed, food, and pharma. These markets are backed by sustainable mega trends, including resource efficiency. For example, the need for doubled glazed windows to improve energy efficiency. And other drivers like recyclable packaging. For example, if used in glass containers, supports the reduction and use of single-use packaging.  Another trend is emission control, where, for example, our Solvay branded sodium bicarbonate is used in flue gas treatment to clean air. And we have even developed there recently a solution for ships to depollute their exhaust gas. Most of our markets have been resilient through the COVID-19 pandemic. And in fact, today's demand is back at pre-COVID sales levels. Our markets are expected to grow by 2% per year for Soda Ash and 4% per year for sodium bicarbonate. Now, let's move to our business environment, pricing and contracts. On Slide 10, on the left chart, you have a good overview of the evolution of market demand and pricing dynamics of this business over the past five years.  The trough on the right shows the evolution of our profits through the same time period using normalized data. What you can clearly see is the demand reduction in 2020. And then as volumes recovered in 2021, the margin squeeze that occurred during 2021 as a result of the significant cuts inflation impacting the business. First on sea freight, and then starting in the summer of 2021, on the energy markets, in particular in Western Europe. Despite the margin squeeze that had a significant impact on our EBITDA, we have been able to deliver a strong cash performance, thanks to a strict discipline on fixed costs.  Thanks to very tight asset management and also thanks to a very strong working capital management. And for the first time in our history, we've been able to renegotiate conditions on fixed price contracts. And I take this opportunity to thank our customers who supported us during these unprecedented times. We have not been able to fully offset all the extra costs but they allowed us to continue to safely supply them and to move forward with our energy transition investments. As most of you are well aware of, the majority of our contracts are negotiated annually. And we've just completed our 2022 and negotiations.  I'm pleased to report that our negotiations for 2022 have been successful. Better than the market average. For your reference, the latest public data published by analysts such as IHS, indicates an average pricing that increased by 27% in Europe and by more than 50% on the export markets. And then that some surcharge closes have been introduced to face these unprecedented cost situation on logistics and energy. Given the surge in energy costs in late 2021, it was critical for Solvay to increase pricing in order to manage the strong cost inflation, of course. But beyond that, to recover pre -COVID profitability levels. This is absolutely needed to support the investments that are required to execute our energy transition and to be able to invest in capacities that are needed by our customers.  Now let's move to our assets and our cost position. So there is a global leader in Soda Ash operating world-class assets. On the chart of Slide 11, you can see the customary curve of the industry on the FOB basis, meaning the cash costs to bring the product to the nearest harbor. Our synthetic and natural Soda Ash sites are highly competitive with 75% of our capacity in the first quartile of the industry cost curve, which you can see here on the chart. These world-class sites are able to serve any customer anywhere in the world.  The remainder of our assets, so-called regional assets, are the most competitive in their regional markets. They are not designed to export, so the FOB cost to the nearest puff is not relevant for them, but they offer local, competitive, and secure supply to our customers there. And they are better positioned at the world-class assets as you can see in the top right corner. This competitive position takes a continuous and focused effort by our untapped business and all the teams. We've been relentless in finding ways to reduce process costs. And in fact, we have reduced costs by €50 million in the last two years since I took the role and we have reduced cost by about €200 million in the past 10 years.  This is how we maintain our leadership position. We have six synthetic plans in Europe that are sustainable and competitive in the long run. Along with our natural Soda Ash unit in the U.S., this gives us a unique portfolio of assets in the market. Even though new developments will likely take place in the natural oil production of Soda Ash, synthetic production remains a critical source across the long-term, given that there are not enough natural trona resources on the planets. On Bicar, we continue to consolidate our leadership position. We are producing Bicar at all of our Soda Ash plants, and we have two additional units only dedicated to Bicar in the U.S. and in Thailand.  As a reminder, back in 2019, we announced an investment in our site in Bulgaria to build a new bicarbonate plant to meet the growing demand. I'm happy to share that we have completed this expansion and the new capacity is now available. That is 15% additional capacity available for our customers.  Finally, in order to make all our plans sustainable, it is absolutely key to do their energy transition. And we made significant progress in 2021 and very recently. And that will be the last part of my talk today. As part of Solvay One Planet sustainability roadmap, the Soda Ash business has committed to become carbon-neutral before 2015 and to phase out coal by 2030. We have already taken a number of steps in our European and U.S. plans to enabled such a transition away from coal usage. In 2021, our site in Rheinberg in Germany began the process of switching from coal to using biomass derived from waste wood chips. The first boiler has been operating since May 2021, and we approved the construction of the second one. Rheinberg is set to become the world's first Soda Ash plant, powered primarily by renewable energy by 2025.  Last week, we have efficiently announced that our site in [Indiscernible] in France will exit coal completely and transition to 100% primarily refused derived fuel as early as 2024 to cut emissions by half. This is the first project of its kind in France. Those 2 projects will use local resources and develop a circular economy. Plans are also underway to transition our Green River Wyoming Plant from coal to gas in two stages to be completed by 2023. And today, we also announced the first step in our largest year European site in Devnya, Bulgaria by converting a boiler to biomass. The biomass will come from a variety of sources, including locally sourced sunflower as pellets.  This boiler is projected to come on stream in November of this year. Today, as we speak, we have already cut our emissions by 5% versus 2018. By 2025, with the projects I just described, we would have achieved 20% emission reduction in our global business. And by 2030, we target a 30% reduction with more projects. As a reminder, each of these projects are economically profitable and they further derisk our operations. In particular, by removing the exposure to the highly volatize for fuel markets. Beyond this, we plan to initiate new process innovations and other energy technologies to support the exit of coal in our hard to abate sites. The transformation is not only part of our sustainability ambition, but it is valuable to all stakeholders, our customers, our employees, and our investors. And that's to keep our sites at the forefront of the industry in terms of reduced environmental impact and custom productiveness. Thank you very much. Now, back to you, Ilham.
Ilham Kadri: Thank you very much Philippe. Really happy to have you with us today and I just want to say great job to you and to your global team who I know are listening to you today for not only the successful completion of your contracts, and I know you've done something historical by reopening them in quarter 4, but the exemplary way you are driving our culture environments in an operations transformation. Now, ladies and gentlemen, I would like to pass the floor to Karim, who traditionally, will review in more detail the group's segments and financial performance in the fourth-quarter of 2021. Karim?
Karim Hajjar: Thank you, Ilham. Good morning, good afternoon, everybody. I'll start with an overview of the three business segments and as usual, we'll refer to figures on an organic basis, which I mean constant scope and currency. Beginning with materials on Slide 13. Sales in the segment increased 20.2% in Q4 as specialty polymers delivered yet another record quarter, Growth was once again driven by automotive, EV batteries, and electronic markets, each with double-digit sales growth. The growth and Ulta by which include batteries grew by 31% over the full-year 2021. And we expect continued strong growth over the next decade and beyond as we shared with you in our recent autobatteries webcast later in the month.  But that's not the only driver, our polymers are adding real value and number of key markets. Polymers zoned in electronics sector grew 19% boosted by semiconductors, electrical components, and of course more devices. Health grew by 11% in health care, which includes polymers used in medical devices and in pharmaceutical packaging. Our technologies are adding unique, significant, differentiated value and as a result, we continue to win new business. Specialty polymers is exiting the three-year cycle, 2019-2021, as a clear winner against our most formidable peers in high-performance polymers. Be it PEEK, PTFE, PPA to name but a few. Turning to composites.  We saw sales recover strongly from more bit low point of the pandemic in Q4 2020, with organic sales up 24%. Growth was driven by the increase in single-aisle aircraft production. For example, the Boeing 737 MAX, the A320neo, the A220 aircraft as well. This grew 57% from the 2020 year on low points. Sales to the space and the defense markets grew by 2% in Q4 as launch and other defense programs partially offset the reduction in the -- temporary reduction in the F-35 program build rates. For the full year, our civil aero business was down 11% versus 2020 and aerospace and defense sector grew by 8%. Solvay's diversified presence across multiple aero and defense platforms allows us to have less exposure to the softness, the weakness in twin-aisle wide-body aircraft production rates.  That's important. But it's also important to recognize and to note that the supply chain and the delivery constraints that we've experienced are continuing this market creates challenges based in raw materials, logistics, and also in labor availability. Turning to profitability, the EBITDA of the materials segment increased 31.4% year-on-year. And our EBITDA margins improved almost 300 basis points to 27.5% primarily due to record sales in Specialty Polymers and of course, the benefits of price increases that have to offset inflationary cost pressures in both of our businesses. Now, I'm going to turn to Slide 14 to review the solutions segment, which as you can see, delivered sales growth of 28% in the fourth quarter. Beginning with Novecare, sales were up 33% almost.  Thanks to both volumes and pricing, driven by coal markets, including agriculture, coatings, home, and personal care. Each of those delivering double-digit growth or in gas, which is now reported separately as of the third quarter, was up by 88% in the fourth quarter, driven by strong pricing predominantly. The Aroma performance business achieved record results in the fourth quarter, with sales growth approaching 37%. Thanks to good demand across all product lines. In Special Chem, fourth quarter sales grew modestly by nearly 2%, driven by electronics, which partially offset lower sales to auto. Technology Solutions had another good quarter, with sales growth of 15.4%, driven by mining and by phosphorus derivatives. As our wrap up solution, the segment delivered 29% EBITDA organic growth compared to Q4 2020.  And that reflects a strong and the continued recovery together, the pricing up across most markets, while EBITDA margin rose modestly to 17%. Turning to chemicals on Slide 15. You've heard Philippe, if you look at the whole segment, fourth quarter sales in the segment were up 18% with all businesses -- all of them experiencing organic growth year-on-year. Philippe has already covered Soda Ash business so I won't go into that any further. Of course, can take your questions. Peroxide sales were up organically 16.5% in Q4, driven by volumes and by price. As market conditions remained strong in hydrogen peroxide for the merchant market, as well as for the HPPO mega-plants.  The Silica business also performed well with the 13% sales growth in the quarter, thanks to pricing initiatives. Now, although tire demand is still slightly down compared to 2019 levels, demand remains strong for the specialty grades that the Silica business specializes in. And that's important. An example was the recent innovation, by the way, called TECHSYN, which you may recall as a result of a collaboration with some key partners, including Bridgestone.  The Coatis business in Latin America continued its exceptional growth momentum, with fourth quarter sales up 59%, thanks to sustained demand in key markets and increased pricing power. The chemical segment had very strong performance in the fourth quarter with 37 -- well, nearly 37% growth in EBITDA, tax to sales, volume growth, and strong pricing management in each and every one of our businesses. Supported, again, by exceptional performance in Coatis and indeed in Rusvinyl. I will now move to the group's financials on Slide number 16. First, the significant inflation in cost headwinds that we flagged in Q2, you'll recall we mentioned 200 million to 250 million that we updated to around 400 million at beginning of November last year. The truth is we underestimated. They came in at €465 million for the full year 2021.  To give you a bit more color, about 70% of the increase related directly to raw materials and energy, and about the remainder related to logistics and packaging. That's the context against which we mobilized. We mobilized the whole of our organization, starting in the third quarter, because we really were determined to accelerate our price increase actions in order to respond, in order to really face those challenges head-on, because those cost pressures were very care.  And we're really proud of the team accomplished, truly. We have overcome a significant amount of those costs. We've kept our assets running safely to keep utilizations very high, to ensure supply of the service of our customers and as a result, we protected our margins. Indeed, the significant progression in our pricing is evident to you on Slide 16. And there a picture better than a thousand words.  What you can see here is that in Q3, we went from essentially standing -- as we're standing [Indiscernible] in the first half we went up to 7% in Q3 and to an unparalleled NIB done before 12% in Q4. That's why we've improved our pricing power as the year progressed. We're really pleased with that. On top of this, we continued to make good progress on our structural cost programs, which you can see in Slide 17. In the fourth quarter, we delivered €40 million of additional savings that brings the year's total to €213 million for the year. And we're giving you a breakdown of that into 3 key areas. Restructuring, these represent reductions in labor cost and that contributed around €75 million.  Indirect cost, as we revisit, [Indiscernible] is zero-based philosophy to everything that we do. That delivered €85 million last year. And then with continued to focus on productivity efficiencies on our industrial sites, which came in with €53 million.  And that really is associated with improving our manufacturing yields, which of course helps to support the volume growth. That brings the total of our structural savings so far to $390 million across the two year period. Well ahead of the targeted €500 million reduction that we'd indicated by the end of 2024. Slide 18 shows that the positive demand development across many markets combined with a successful price initiatives and our cost reductions to help us deliver another quarter of strong EBITDA performance, up 24% on the quarter of -- on the fourth quarter of 2020, and up 27% for the full-year. One-time impacts of net €27 million in the fourth quarter were also reported an underlying EBITDA, and that includes €61 million of one-time gains resulting from the Brazilian Supreme Court's retroactive decision on due to recovery for many companies including Solvay.  And we've recorded that gain in the chemical segment. This gain was partially offset by a €34 million loss, half of which related to bad debt in the energy business, nearly related to an unprecedented spike in energy costs, which we recorded in our corporate business services segment. I'm going to turn to cash generation on Slide 19. The results of our efforts over the last two years to improve our cash generation are evident through to see. For the 11 quarter in a row, we are generating positive free cash flow with €151 million in Q4 last year and €842 million for the full-year 2021.  So how did we achieve this strong performance? We're going to give you the main elements. I'll turn first to working capital. As you'd expect, strong top-line growth drove increases in inventories and receivables. The good news is that we doubled down and even grow that discipline even further. And so within that figure, you have structural improvements over around 100 million of benefit and also the benefit of temporarily higher than usual payables because of high energy costs. But we continue to manage very carefully our working capital with discipline. Total average working capital to sales in 2021 was 12.7% versus 14.7% in 2020.  And mid to high teens is typically the industry standard, so we're really proud of this performance. Turning to Capex, we accelerated the investment in the fourth quarter to €324 million, bringing the total for the year to £736 million in line with our guidance at the very beginning of last year of between €700 million and 750 million. Our ambitions to grow the business are high and our investment plans are concrete. We are now entering a growth cycle to prepare for the opportunities in the coming years. And Ilham already mentioned a few of these exciting projects. We also spent €118 million on our restructuring programs, €26 million more than in 2020.  And as you know, I consider this an investment because the payback is generally below two years. Finally, the deleveraging of our balance sheet has continued unabated. And the continued work on pensions and on debt reduction is paying off. Indeed, pension and financial charges were €89 million lower than in 2020. Compared to 2019, there were €190 million below 2019. As a consequence, our free cash flow conversion ratio is over 37% for the last 12 months. Again, it's higher than the ambition we set out of the structural free cash flow conversion ratio, exceeding 30%. I do want to make one additional comment though.  I'd like to invite you to think of that 30% free cash flow conversion as a minimum average level that we expect to maintain going forward. Even though investments in our growth projects may well cause that level to dip in a particular year. We also recommended a dividend increase of €0.10, which if approved, will bring the dividend to €3.85 per share. Finally, it was on our net debt. Underlying net financial debt decreased again in 2021 by around €250 million to €3.95 billion, mainly due to the higher free cash flow generation. And that's despite an additional voluntary contribution towards pension obligations of 236 million. Since the start of 2019, we decreased our net debt by nearly €1.6 billion. We decreased our pensions by an additional €1.1 billion. Today, the leverage ratio stands at 1.7 times, making it the lowest level we've had since 2015. And our credit strength and our strong ratings are really reinforced. And with that, I'll hand you back to Ilham who'll discuss the full-year outlook for 2022.
Ilham Kadri: Thank you, Karim. And I'll now share some comments on our outlook for 2022. First, let me share our assumption. First, there will be a negative scope effects in 2022 of €21 million due to the small divestments we made last year. Next, I want to acknowledge that the costs inflationary environment we continue to face is unprecedented in terms of volatility and financial impact. We also are aware of the geopolitical risks and continued uncertainty. In the light of these circumstances, we assume that things will neither improve nor get worse, and we remain focused on what is in our control.  Our quarter 4 results demonstrate that we have the capability to take pricing actions to overcome the inflationary pressures. And going into 2022, this remains a top priority for our organization. We also continue to drive growth across our businesses. Let me highlight some of these assumptions. In the materials segment, we expect the growth to be driven by few key areas.  Growth in auto, thanks to the shift towards electric vehicles and continued penetration of our high performance polymers across all vehicle platforms. We shared with you this story just a few weeks ago during our webinar. LMC forecasts, as you may know -- or forecast to recovery in the auto markets with an approximately 12% increase in global light vehicle production 2022 versus 2021. The expectation is that the growth will be weighed towards the second half of 2022.  This would provide a strong tailwind for our auto facing polymer businesses, where we expect to continue to outperform the general market. Another growth driver is the continued recovery in Civil Aero that supports growth in composite with single aisle production rates increasing this year. We estimate steady improvement in this business. We intend to share more details on these markets in the coming months in a similar dedicated webinar to be held in May. In chemicals, Philippe just highlighted the expectations in the Soda Ash business.  This is important because the growth in Soda Ash this year will help to offset the non-repeating effects of the super-cycle that benefited us in 2021 related to Coatis and Rusvinyl, both of which delivered around 100 million more than their cycle average. In solutions, the segments is expected to grow modestly thanks to the demand for more sustainable solutions in a number of its markets, including agro, home and personal care, and others. We are seeing the success of the optimization strategy in the segment, and we see even more opportunities ahead. Given this market view and taking into account our intention to invest more in capability in materials and digitalization, and the fact that we expect pricing actions to accelerate this year, we estimate full year EBITDA to grow organically in the mid-single digit percentage range.  On cash generation, we have clearly benefited from the improvements and the discipline in our processes over the past three years. And now we will be using some of these cash to fund our growth. I already mentioned a few of these investments earlier related to various high-performance polymers capacity expansions.  Altogether, this should bring our Capex level in 2022 to around €850 million to €900 million representing a 15% to 20% increase versus 2021 of which half is inflation. Please be aware this doesn't indicate a sustained higher level of spend. Think of it as an investment cycle were some years are higher than others as we prepare for future growth. The expected growth in the top line will likely result in higher working capital needs.  This together with our investment needs in 2022 brings us to a free cash flow estimate of at least €650 million. Of course, this can fluctuate based on the activity level as we will ensure we meet our customer's needs. As always, we will keep you inform of any changes during the course of the year. I'm sure this year will also have its share of challenges as we continue to emerge from this crisis and some of the secondary challenges it has created.  Our team has demonstrated our ability to manage through these near-term headwinds. Our solid and improving portfolio, coupled with our strong balance sheet and structural improvements, have enabled us to emerge leaner, stronger, and well positioned to progress on our transformation journey and outlook value for our customers, shareholders, and our employees. And with that Karim and obviously, Philippe as well, our guests today, and myself, we're happy to take your questions.
Jodi Allen: Thank you, Ilham. We will now move to the Q&A. And I ask that you kindly limit yourself to one question per analyst so that we can address as many questions as possible today. Moderator, I'll hand the floor back to you.
Operator: Yes. Thank you. [Operator Instructions]. And we have our first question from Daniel Cheng from Rheinberg. Please go ahead.
Daniel Cheng: Hi. Congratulations on the solid quarter. I just got a couple of questions if that's okay. So first is on, could you elaborate more on the execution of the pricing actions that have been taken beyond Soda Ash? And maybe it's sort of link onto a follow-up. So to get your guidance down 2.45 billion of a bit. Is that assuming price for the offset costs?
Ilham Kadri: Yes. Hi, Dan. Well, definitely, the pricing has been a new muscle. We just started to train in the company and me as -- I'm not a newcomer anymore, but we have our share of crisis since I joined. And when inflation hits us last year and second half looked very different from the first year, we had two type of businesses.  One type of pool of businesses like Soda Ash, by the way and Philippe can elaborate later on, where we had contract pricing, either based on a number over a year with no formula or others with formula pricing linked to raw material like in Silica with four months left, right? And obviously, you want to honor your yearly contracts with your customers that's why we put contracts in place, but it was really unprecedented.  So price became a refocus of our teams as from mid-2021 when raw materials and energy began to escalate, and we knew this is not something which is going to be lasting for a quarter only. And we have seen a broad-based progress on pricing. We shared best practices with our teams. We say it will take time, you remember I told you that in quarter 3,  But I'm really proud of our teams that in quarter 4, we saw this acceleration with 12% increases in the quarter. Really proud of many. I will give probably the floor to Philippe to talk about what they have done in Soda Ash because it's the highlight when a team, a management team and the sales team are bold, courageous, and brave to go and reopen a contract during any given new year and fight for protecting the margins and defend their value proposition.  And obviously, what was in a way, almost -- even if it's painful, we could actually renegotiate 2022. But before we -- I do that, obviously in Specialty Polymers for example, it was another story because pricing was lagging in the 3 first quarters. And as you know, in Specialty Polymer, we had unique value proposition. We went back to the market. We defended our value proposition. And the team succeeded to increase prices.  And the acceleration allowed us to compensate the variable cost increase in quarter 4 while we had the margin squeeze in quarter 3. So then it depends on each business, Novecare made good progress, but we expect more. And as we entered in January, I can tell you that the pricing in quarter 4 is sticky. We are still looking at a pool of pricing leakage where we're not covering our variable costs. We are seeing some escalation on inflation more than what was even budgets to those seen in December. So listen, this is the muscle we are -- we had training while entering the year with renegotiated contracts, including surcharges. Philippe, would you like to share your experience on reopening your contracts in quarter 4?
Philippe Kehren: Yes, absolutely. Thank you, Ilham. Well, in Soda Ash, most of our contracts, let's say 90% of our contracts, are fixed price negotiated on a yearly basis. The market last year was tight, so obviously, we're able to pass price increases on the open volumes. But again, 90% of our volumes were locked and we soon realized that it was not sustainable to continue like that because of the unprecedented price increase on energy markets. We're talking about on gas and coal, four or five, even more normal prices. So it was absolutely key to desqueeze a little bit the business already on in 2021.  Of course, the market being tight, the customers wanting security of supply and visibility in the long term and also investments that are required for energy transition and for new capacities in the future. We were able in a lot of cases, not to say in most of our case -- the cases to get the support of our customers. And that's really, really something that was a nice surprise, and the most, I must say, to mitigate the risks. For 2022, obviously, we renegotiated the prices in a situation where, again, the market is tight and cross-sell increasing. Here, our target is not only to compensate the costs, but really to go beyond that and to get back to the profitability levels that we had pre -COVID in order to be able to continue to invest because we have big investments to be done, both in energy transition and in capacities.
Ilham Kadri: So thank you. And this is it. So I think the price in muscle was underdeveloped historically. And frankly, these inflation environment, although again painful, it's really for me a nice opportunity to really engage with the business presidents, the [Indiscernible] organization, the technical staff to really defend our value proposition. You know that Solvay had a top-tier margins, so people know that we have great assets, we have great value proposition to offer to the world, and business by business, we are engaging with our customers and really proud of the 12% price increase. By the way, I think maybe some of you think that Coatis has done a really great job over the year, but even if you remove Coatis from the price increase, we are up double digits pricing increase. So it tells you that this is not coming only from the commodity side of the portfolio but also from the specialties. Back to you.
Daniel Cheng: Thank you very much.
Ilham Kadri: Thank you.
Operator: So we have another question from Lisa De Neve from Morgan Stanley. Just go ahead.
Lisa De Neve: Hi. Good afternoon. Ilham and Karim. Thank you for taking my question. Maybe I'll slice in two if I really may. Can you just share the free cash or moving parts that underpin your $650 million guidance or minimum guidance for the year? And specifically, I'm looking at what are the provisionals or the networking capital expectations that are baked into that number. And secondly, small question. So congratulations on your pricing in the quarter. So on materials, you've delivered €40 million pricing in 4Q. In the backdrop of much higher PVDF pricing and market tightness and higher raw materials, can you share how much of that €40 million was driven by PVDF pricing?
Ilham Kadri: Can you start, Karim, with 650?
Karim Hajjar: I will start on the 650.
Ilham Kadri: Yes.
Karim Hajjar: A couple of key comments I can help you with. Remember first of all, that we did indicate and promised to minimum of 30% free cash flow conversion by 2024. We announced that what's in 2019. We have averaged 44% in the last 2 years. What I want to highlight though, is I'd like to, as I said to you when I was giving my opening remarks, take that as minimum average overtime and it really doesn't preclude that when we have a peak growth investments that doesn't dip modestly. So don't be surprised if for example in '22, it's a little below that 30%. It's important to note that, particularly for example, is very strategically coherent. We said too few weeks ago that we're investing in batteries at a cost of $300 million.  Half of that's coming in this year. Other thing I want to highlight too, the $736 million we invested this year, if we just take account of inflation, that will move it up towards $800 million. So again, that tells you that. And indicating $850 million to $900 million of capex, we're making space. We're allocating more to make space and drive that additional growth investment. That's the main one.  I think, supposed the working capital is concerned, 12% is very, very low. Typically, I expect us to want to invest to serve our customers. Working capital investment to support our growth is something you can expect. It really is those two key factors that are the main drivers. The other one, which is a little more modest, which is the incidence of our profit pools will impact our effective tax rate by a couple of percent here in there. And that can easily €20 million, €30 million of extra cash cost. But that's totally dependent on exactly which geographies those profits are made. I hope that helps, Lisa.
Ilham Kadri: And as you know by now, we'll not let go the free cash flow discipline in this company. We'll take it as a floor and obviously, we want to reinvest in, as Karim said, we have great investments and the markets welcomed our investments in double. We have few more in PSU and PESU, but also in electronics, in highly purified H2O2 and obviously in working capital as our customers need to. On your question on materials, on price increase, and I gave the example here on materials before Philippe kicked it in, Lisa, is the highlights of quarter 4, right? And really the price increase acceleration allowed for the first quarter, frankly, since the past year or 18 months to compensate variable cost increase. And this is across the board. Don't think it's only PVDF.  Obviously, we are -- we have record sales in batteries almost under allocation. But the rebound in automotive is across the board, including for other high performing polymers which go to under the hood application and go to light weighing despite the ship shortages you know. Electronic is boosted by the 5G and smart devices, the mobile phones. So all of this is actually booming with Specialty Polymers and we did a price over cost campaigns throughout the year and in quarter 4 with value capture initiatives. We looked at bleeders price initiatives, so where we have price leakages.  We are giving much transparency on the pricing and the cost to all our product managers, salespeople to really ensure that there is no -- that they understand the outliers. And we are actually educating our salespeople, starting Specialty Polymers but also expanding to other businesses on large deal negotiations. So that is readiness process which I've been through when I was a young sales person, and I think it's good to go back to the basics and multiple deals deals spanning the GBU portfolio across all large deal in the renegotiation. And when you are in those inflationary environment, it's good to reopen your contracts. We are looking at all our contracts, the payment terms, the price in leakage, the outliers. We have 40 or 60 deals ongoing now in negotiation and, obviously, we're applying this new format. So you can expect our prices increase to really go across the board. And we shared in the auto webinar that we were able to pass the cost increase to customers, also in auto as the demand is very strong and the supply is still limited. Back to you.
Operator: So we have another question from Wim Hoste from KBC Securities. Go ahead.
Wim Hoste: Yes. Good afternoon and thanks for taking my question. I would like to ask your opinion on the management of the balance sheets. With leverage coming down, how are you looking at things like further reducing the pension deficit, lowering debt service costs. Are there any opportunities just in in making our balance sheet more efficient?
Karim Hajjar: That's a great question. I think this is a journey will be known. We've really -- as I mentioned, very, very big numbers have been contributed the deleveraging. But why don't [Indiscernible] everything we've done is created value. Just remember that the major reduction in our pension cash service costs, in our financing cost is directly associated with that. We're talking of returns, we're an excess of 10% off the tax. It's fair to say we're coming towards the end of that particularly attractive deleveraging.  The next chapter, this opening up as investing with real discipline. I think that's really, really key. At this stage, what I can say is our credit strength is improving. Probably I would speculate. I will suggests we forget the top-end of our credit ratings and we like that. It gives us the ability to many of the, to really invest into the right thing. But there is no more new major deleveraging opportunities. We have a bond that comes due I think just around €380 million in September. We've got the cash abate. We'd have to rate new debt. It's a great position to be in. Maybe the only other thing I'll highlight is that with that cash is of course we can look at capex. We always look at the right opportunities for M&A. But again, it's not the lack of cash with [Indiscernible] that gets in the way. It's the fact that we're very, very demanding on the -- on our expectations, on the value creation. So we can look at things and we're not going to move unless we really find value, which is what we did early last year with the agro business.
Ilham Kadri: Yeah.
Karim Hajjar: Ilham?
Ilham Kadri: Though I fully agree. And frankly, it's good to pause and enjoy the view. The pension, as you know, was the nail in the shoe of Solvay when I started in this company and I thank the teams and specifically the finance team here. Because the pension funding, there is a lot of negotiation and engagements with the trustees and different institution across different countries which happen behind the curtain and the hard work and deleveraging and paying 1.1 billion on pension and on net debt 1.6 unheard of frankly, in two years and half. So really enjoying to see a strong balance sheet that's my believe any company should have a strong balance sheet. And indeed, we just have a luxury now to confirm place where to invest, we have -- the good news is that since three years in the job, we built a really great organic growth platforms, right? Which you see, there are real, we can win, we can -- the opportunity is real, we are a winner and it's worth it, economically. So we'll go for it. And obviously, we continue looking at strategic portfolio but with the high level of discipline. The allocation of resources and the change in governance, which we did since March 2019, has paid dividends, and this is not changing.
Operator: We have another question from Chetan Udeshi from JP Morgan. Please go ahead.
Chetan Udeshi: Hi, thanks. I just had few questions. First one was, I think within the provision line and also within the exceptional, I think there is a mention of 123 million exceptional costs associated with results from legacy remediation and major litigations, which seems primarily to relate to remediation costs. I'm just curious to understand various this £100 million remediation costs, which part of the business is this related to? Is this essentially going back to the fast remediation provisions that you guys are now starting to build up? Any color there would be will be useful. The -- sorry, a bit technical here again is -- if I look at the cash flow, there is a big bump in the dividend payments from associates in [Indiscernible] (ph) to almost €130 million last year from €25 million in 2020. Do you think this is sustainable going forward? Clearly, I think most of this might be coming from the EVC JV (ph) in Russia, but any color there would be useful. And last question, there's a big jump in revenue from non-core activities in fourth quarter. I mean, it's more than doubled versus third quarter 2021. I think this is mainly related to your energy trading and sale business, but can you help us understand if this had any profit impact or EBITDA impact as well, given the significant increase in sales? Thank you.
Ilham Kadri: Okay. Thank you, Chetan. You want to take it?
Karim Hajjar: Sure. First and foremost, I think I missed out of the provisions, there's nothing exceptional in the repatriation line? Yes, this is a higher than we've had historically. But there's nothing particular that jumps up in terms of those major -- outcome of major costs that we flag. What I want to highlight though, I'm going to confirm what you said because your assumptions are absolutely spot-on. The spike in dividend from non-controlled entities is really around Rusvinyl. Vimeo dividends, exceptional dividends. Again, we're benefiting from super-cycle earnings and the great news is we're monetizing it with crystallizing given the cash record dividends. That's the major part of it. And on the non-core earnings, again, you're spot on a really is around the equity counting. It's mainly [Indiscernible] of the one-time impact that we disclosed. [Indiscernible], you want to correct me? Go ahead, please. Revenue from [Indiscernible] relate to business, The energy business predominant tail. Okay. Sorry, I was looking different line. Thank you. That is absolutely. The energy business. And the one-time impact that we highlighted. Thanks, Chetan.
Ilham Kadri: Does answer your question, Chetan? Maybe.
Operator: We have another question from Jeff Heard from UBS. Please go ahead.
Jeff Heard: Good afternoon. I was just wondering if we could talk a little bit about specialty plastics. And could you talk about the different trends that you may be seeing in volume terms for ICEs and EVs, and also talk a little bit about do you see a big margin difference in the products that you're selling into ICEs and EVs, please?
Ilham Kadri: Of course and I can take it up. Maybe for those who didn't actually listened or attended the webinar, we held a webinar dedicated to auto and I think it's now available on our website. I would believe on ICE and move to hybrid and electric, that by 2030, half of the markets will stay with ICE, instead of convention engine cars, and the other half will move to hybrid and BEV. Obviously, there is an ICE power train in the hybrid. So that's good for us. And along with the electric power train. We also shared with you that the opportunity is real for us. We've seen it. It was stress tested during the COVID-19 because our frankly electric PVDF and other polymers to lighten the car has been just increased and including in the midst of the crisis. And our numbers, we shared with you that we grew this business with an areal -- with the CAGR of 8% between '16 and 2021 from €500 million to €800 million altogether.  And that this number will likely become €1.5 billion by 2025 and can go above and beyond €2.5 billion by 2030. And that's a great opportunity. You see that investing in PVDF and upstream monomers and feedstock is the high barrier to entry. In fact, I was in Tavaux just few few days ago to start an integrator, I mean these new construction. And actually we are building 5 different plants, all vertically integrated. We also, what we told you in terms of the opportunities that we doubled our addressable markets and value by market, which is great for the company and the revenues.  And we are in suspension just to finish with the technology. And suspension as compared to immersion, it's the supply of choice for high-end batteries. Basically, it gives us a better electric addition in NMC, for example, as compared to the emission technology. So all in all, we feel really good about that. The margin are as good as we have today. So we will keep our margins, we will double the accessible markets. And we have the technology, the know-how, the customer access, the conversation, right? Our customers we're really involved with us in making these investments happen in Europe, in localizing the value chain for batteries. And at the end of the day, we're also agnostic to the cuts or do you know type. We are agnostic to the industry in a way because PVDF goes to other businesses. So there is the risk in here of the investments. Obviously, you know that in [Indiscernible] in China, we also doubled our capacity. And we are now looking and discussing how to invest further either in Asia or in the United States of America. Back to you.
Jeff Heard: Could you possibly comment on just what you're seeing currently in Q4 and what you expect to see in the first half of 2022 in terms of BEVs and ICE demand?
Ilham Kadri: Great question. And we've seen a very strong demand last year. Remember 2020, when we got out of it. Obviously, there was a lot of destocking during the crisis, etc. and we had to rebuild in 2021. And in quarter 4, frankly, there was a lack of seasonality. In quarter 4, we saw demand, especially in batteries. So we've seen this very strong. The order book entering to quarter 1 remains -- I mean, we -- our order book covers anywhere between eight weeks to 10 weeks for Specialty Polymers. So demand indicators continue to align strongly with the order book and pricing remains the leading indicators rise on there. So we shall see on the raw material and the inflation how we're going to engage into Quarter 2. You've seen LMC numbers, I shared them with you. It looks like they are Very still comfortable although they can change later, but confident that 2022 will deliver double-digit growth., probably heavily weighted towards the second half than the first half. But for us, the order books are still strong and that's what we see today in our books. Next to you.
Jeff Heard: And is that order books in both ice and EVs are still strong.
Ilham Kadri: Yes. higher. That is a strong demand in electric batteries, The rides and demand for products for EV and hybrids. But definitely the IV still. Okay. Yeah.
Jeff Heard: Okay. Thank you.
Ilham Kadri: And don't forgets, as well, I'm just -- beyond what you see from the ICE, build rates against electric hybrid, is that we are also in light weighting now. So we entered the existing models and the existing technology whenever we can replace metal and we can lighten the vehicle, which goes as you know, into setting the emissions and allowing the car manufacturers to become more sustainable. You heard it from again, celebrate that CDPs with us, that EV, it's emerging, it's small, it's new, but will be also benefiting the mining and the Soda Ash businesses. Back to you.
Jeff Heard: Okay. Thank you.
Operator: So we have another question from Mubasher Chaudhry from Citi, please go ahead.
Mubasher Chaudhry: Hi. Thank you for taking my question. Just want to -- You've had very good performance on cash generation as well. As you talked about de -leveraging and having a good balance sheet and starting to focus on organic investment. Is it fair to say from a capital allocation perspective, that the focus is very much on organic delivery and on focusing on the business outlook. This will M&A is off the table. And if not, if there's any preference foresaw lays in multi-exposure that you'd be most excited by from an M&A perspective? Thank you.
Ilham Kadri: Thank you, Mubasher. Well, listen, I think you're right since I joined the company, frankly, my first objective was to deleverage the balance sheets, to make the cash generation. I'm not a fourth-quarter story, but a quarterly story with high discipline. And you remember, we've changed our incentives and high -- and frankly, this organization had just responded better than good, so we really train the muscle. So very happy with the generation of the cash across all the businesses.  I think, again, Philippe is here and so as you know, it has been and is a resilient cash generator. But other businesses, Specialty Polymers and hydrogen peroxide, etc., they are equally generating quality free cash flow and the conversion has been really good. Now, in terms of investments, since I joined the company, I was really looking at what are those key big bets we have in terms of organic growth, and we do have quite a substantial, great projects and you've seen them. Batteries is one, we are investing in some more plastic composites. We just finished our investments in Greenville in the United States of America. Green hydrogen is still small, but we are putting a semi-commercial plant for Aquivion membrane for green hydrogen.  We announced earlier this week, the PSU -- the Udel story for healthcare, high-margin businesses, and then intrapurified H2O tube peroxide, which goes to semiconductors, and the world is short and thirsty for getting more semiconductors and our customers are asking us to invest very close to them, so after our joint venture, an alliance in Taiwan, we're looking at investments here in Europe. We don't have yet the final choice of the manufacturing plants but we will inform you. On the inorganic side, first of all, there is no sacred cow. We look at it from the strategic planning point of view.  We are disciplined and if there is a strategic fits and we believe we can be the best owner. The next question for me will be how much it will cost is it's creating value. And I know our history has been debated a bit on that acquisitions. So we want to -- we will look at it and we do it right, including the synergies. What are they? What are the expected returns? So no emotion. It's very clinical based on facts. And we will be extremely disciplined on any inorganic M&A.
Mubasher Chaudhry: Let's come back to that. Is there any limitation on salaries and even, would you be keen to go for bolt-on side or that doesn't matter regardless, if it matches the investment criteria and with attractive, you're open to bigger [Indiscernible].
Ilham Kadri: I don't want here to change the risk profile of the company, right? So I'm very careful with the big acquisition we have. Remember, I mean, we exited 50 -- the cycle of 50 M&A after the acquisition of Rhodia and Cytec, we had actually -- to merge those -- integrate them, build the synergies, which happened very recently. We contemplated then, we still do small M&A by -- and building agro, you remember we did a small one last year, so that's good. But big is not necessarily beautiful or profitable. So I'm very -- I've seen many bigs in my career, so I'm very prudent and I will continue to look obviously at all the options on the table, but with discipline in return. Back to you.
Mubasher Chaudhry: Thank you.
Operator: So we are going to take the last question, Andreas Heine from Stifel. You have the [Indiscernible].
Andreas Hiene: Yes. Thanks for having this opportunity to ask the last question. It's on Soda Ash, actually. I would like to come back to the comments you made on what Soda Ash can deliver this year in the context of the over owning of the [Indiscernible] and you signed it that the last 2 were over owning by $100 million last year might not do this year. Is that right that you are so optimistic that Soda Ash might increase earnings by 200 million this year on the tight market and the price increases you have achieved at the beginning of the year? The first question. The second related to this is Soda Ash. variable costs are highly dependent on the energy question. My understanding is and looking in your report, you have quite high hedges in energy. How is it for 2022 in the current market? We have now is the annual price and we know where our energy prices are currently on the spot market. How you hand the hedging, your energy position, or will it be more open position to see? Thanks.
Ilham Kadri: I will give the energy question, I will leave it to Philippe, as he is with us. But definitely, on the €100 million, we are not saying -- there is a super cycle, you understood it's from Coatis and Rusvinyl, which we evaluated around €100 million, this is based in our guidance of mid-single digits for the EBITDA for 2022, we don't give guidance by GBU and by business, right? But obviously we'll give you more color as I expose some of my GBU precedence over the year to give you the quality of the business. And I think what Philippe is saying is that after 2020, where we elected to let go some low profitable volumes in the markets, We did it really intentionally. And frankly, it worked very well for us in 2021. We actually -- really we were more resilient and more profitable than our competitors, because we have discipline, we protect our margins, and we renegotiated our prices. And I thank again Philippe, and he seems to be bold and courageous to reopen historically some of the contracts. And not only to see the impact in quarter 4, but definitely in 2022, including having energy surcharge. Philippe, can you bid on that?
Philippe Kehren: Yes, absolutely. Thanks a lot Andreas for the question. Indeed, we are extremely exposed to energy markets as you know, it's the biggest part of our variable costs. Well, the answer is very simple. It's a combination of hedge that we've taken. And also under the current circumstances, some new contractual closes that allow us, in some cases, either to pass on those extra energy costs, in particular if they continue to go up. And we feel this might happen given the context. And also some reopen that would allow us to pass on price increases. So this is exactly what we are doing. What I would like to mention on top of that is that it's highlighting the fact that doing the energy transition is key because, moving from coal or gas to refuse the right fuel biomass and so on with local sourcing, local sourcing that we can secure on the long-term help us to get out of this huge volatility that we see increasing months after months on the first [Indiscernible] energy markets.
Ilham Kadri: Yeah.
Philippe Kehren: Thank you.
Ilham Kadri: So thank you. And to clarify, it's 100 is not 200, so I don't want you to walk away with that number. So yeah, just to be clear. Well, listen, I think it's the last question and I would like, really, to thank Philippe. He is the first one joining us in an earnings call and you will see us having guests from different businesses as we continue building the equity storage of our strong and robust portfolio. Thank you. Thank you very much.
Jodi Allen: Thank you, everyone. This concludes our call today. And as always, the IR team is available for any follow-up questions that you may have. Thank you so much, and have a good day.